Operator: Welcome to the Marathon Oil Corporation Second Quarter 2013 Earnings Conference Call. I will now turn the call over to Howard Thill. You may begin.
Howard Thill: Thank you, Don, and good morning, everyone. I too would like to welcome you to Marathon Oil Corporation’s second quarter 2013 earnings webcast and teleconference. On the call today with me are Clarence Cazalot, Executive Chairman; Lee Tillman, President and CEO; and Janet Clark, Executive Vice President and CFO. As a reminder, today’s call is being recorded and the call will include forward-looking information. As we’ve changed the format with the prepared remarks been issued last night, I refer you to the forward-looking statement in that slide deck, along with the period of SEC filings including our 10-K, 10-Q’s and other filings, which provide additional risk factors. Before we get started, I’d like to ask you to block out an important date on your calendar. As Clarence mentioned last night in the prepared remarks, we are holding an Analyst Meeting in December. That meeting will be held on December 4th of this year, which is a day we will hold our meeting in San Antonio, Texas. More information will be sent to you on this in the near future and how to RSVP and details, et cetera. Also if you’ve not RSVP for our September 10th reception in New York, please contact Paula Hooper at phooper@marathonoil.com. With that, I’m very pleased to now hand the call over to Lee Tillman, our President and CEO for some opening remarks.
Lee Tillman: Thank you, Howard. And let me add my good morning and welcome again to our second quarter earnings call. Prior to opening up for your questions, I’d like to share just a few thoughts as the new President and CEO for Marathon Oil. One caveat today represents my seventh official day in my new position, so my remarks should be taken in that context. First, let me reiterate what an honored is to be assuming this leadership role for what is by every measure an outstanding company. I appreciate the confidence placed to me by Clarence and Marathon Oil Board, and look forward to earning the confidence of our employee and shareholders as well. In 2011, Marathon Oil began a journey to become the leading independent oil and gas producer. Clarence and the leadership team put forward a compelling vision that will enhance our focus on our E&P objectives and strategy, that would create transparency for our stakeholders and our employees, that would provide clarity on portfolio management and risk tolerance, that would also establish the business imperative around agility and a bias toward action, and finally, bring a relentless focus to long-term shareholder value and competitive returns. All of this supported by our steadfast commitment to the core values of safe, health, environment, security, business ethics and corporate citizenship, and our traditional strength and operational excellence and large scale energy project development. We are focused on the fundamentals that will grow our volumes profitability, access the high quality material resource, selectivity, and development and capital allocation, execution and operational excellence, continuous improvement through rigorous external and internal benchmarking. We recognize that our most critical allocation decision is the deployment of human capital -- our employees, and we must continue to attract, retain and develop the best professionals in the industry to provide the necessary competency and leadership that will drive business performance and ensure that Marathon will continue living our values. Our focus on core values, profitable volume growth and investing in people will delivery long term value to our shareholders. A strategy that encompasses a base with strong cash flows, growth assets that leverage our strength, high impact exploration to open new opportunities, rigorous portfolio management to ensure robust capital allocation and financial discipline all combined to provide competitive returns for the long term. We are early in our journey as an independent E&P company but the results today are compelling and set the stage for the future. With that, I would like to hand back over to Howard who will facilitate our Q&A session. Thank you.
Howard Thill: Thanks Lee. Before we get started, two items. Number one, the transcript that was sent out last night had a rather large font. I apologize for that and (inaudible) but you can go to our website this morning and there will be a new transcript with a normal font that won’t be printed out in 50 pages. So that’s number one. Number two is that I would like to remind you to please keep your questions to two with associated follow-ups and by two questions you know who I am talking to, I don’t mean multiple part questions. So with that Don, we will open it up for questions.
Operator: (Operator Instructions) Our first question comes from Doug Leggate from Bank of America Merrill Lynch.
Doug Leggate - Bank of America Merrill Lynch: Thanks, good morning everybody and Lee, congratulations on your appointment. Two questions if I may. First of all on the Eagle Ford, so you’re going to wait until December to give us down-spacing results. But for intention purposes I guess EOG and a lot of peers are pretty much already showing us what the asset can do. I guess my question on the down-spacing scenario you have a 10-year drilling inventory. Is that an inventory that you would want to accelerate going forward or is the current drilling pace optimal in your mind? And then I have a follow-up please.
Clarence Cazalot: Hey Doug, this is Clarence and I think you are right that others are more advanced perhaps in their overall understanding of the reservoir in terms of the potential for down-spacing and recognizing that the geology does change a bit across even the core of the Eagle Ford. I think it’s important for us to do our diligence, to do the right technical work should we indeed to make the right capital allocation decisions as we indicated earlier. I will say part of what you will hear I believe in December will be spot on relative to your question which is the issue of acceleration, we all recognize the value of acceleration. But at the same time as we’ve spoken to before, it’s very important that you’re not outrun, certainly the capabilities to process transport market, the hydrocarbons are indeed outrun the capabilities of the overall industry infrastructure. So I think what you will see from us is the plan we believe optimizes the value of the resource we have there but does it in an appropriate way and is the right pace. 
Doug Leggate - Bank of America Merrill Lynch: If I may, my follow-up is -- I guess either of you two gentlemen in terms of the portfolio, currently you are leading the company with a great deal of cash flow, tremendous balance sheet but also an international declining asset base beyond the Eagle Ford, one could argue not a great deal of visibility. So I am just kind of thinking about how -- what’s the next part of the story from Marathon, is that an acquisition story in terms of…
Doug Leggate - Bank of America Merrill Lynch: Do you feel as if you have the inventory to sustain the current visibility or how do you see using that cash and I’ll leave it there?
Lee Tillman: Yeah. Doug, hi. This is Lee, and thanks for the kind words. In terms of looking forward, Doug, I think we want to keep the opportunity aperture wide open. I think, we’ve talked already about potential acceleration and the Eagle Ford, I would also add that probably applies to the Bakken as well. We have a lot of running room in both of those areas. I think we will be able to talk more in depth about that in the December Analyst meeting that Howard has already mentioned. All of that work will be underpinned by the sound science that we’re currently doing, certainly in the Eagle Ford on the downspacing pilots. As we look more broadly, we are looking at high impact exploration wells in some key place around the world that would have the net effect of potentially strengthening our international portfolio. Within our international portfolio of base asset, they are still strong performing assets. If you look at the uptime and reliability performance, clearly its top tier in the industry and those barrels are some of our most profitable barrels and we’ll continue to look for incremental investments in those base assets. In addition to that we remain open to acquisitions that make sense to our portfolio and we’ll continue to look for bolt-on acquisitions in North America that are going to be accretive to our overall portfolio. So I think we have a lot of levers to pull to continue to drive the portfolio. We’ll also continue to look at those assets that may no longer fit our portfolio. Most recently, of course, we announced the sale of the block in Angola and I think that’s indicative of us continuing to high grade our portfolio and look to develop a very competitive portfolio in our peer group.
Janet Clark: And, Doug, I would simply say, you’re right, our international assets, particularly in the North Sea are declining, but you’ll recognize that our overall 5% to 7% growth rate incorporates that decline. So indeed, we’re managing that, as Lee said, these are assets that generate very significant cash flow that help fund, if you will, our domestic growth. So, again, I would simply say, we recognize those declines, they’re built into our projections and our projections don’t include any acceleration, which indeed could enhance or increase even 5% to 7% if we believe that’s the right thing to do.
Doug Leggate - Bank of America Merrill Lynch: Thanks guys and again congratulations to you both.
Lee Tillman: Thank you.
Operator: Thank you. Our next question comes from Arjun Murti from Goldman Sachs. Please go ahead.
Arjun Murti - Goldman Sachs: Thank you. And my thanks to the new format of e-mailing out the prepared remarks the night before, didn’t mind to find Howard, but regardless, I appreciate to get all that stuff at a time and just going straight to Q&A. Just a follow-up question…
Clarence Cazalot: At least now, Arjun, you don’t have to -- at least now Arjun you don’t have to decide whether we’re live or remember it…
Arjun Murti - Goldman Sachs: Definitely cuts out that risk.
Clarence Cazalot: Yeah.
Arjun Murti - Goldman Sachs: Just a few follow-up questions on the portfolio, you may not be able to comment on all of this, but there had been some reports about whether you continue to have an interest in Libya, if you can address that? On the Norway piece, I think the declines are meeting your expectations? Can you talk about things that you can do that can either alleviate that decline or is it just kind of normal course there? And then maybe for, Lee, comments on the oil sands which at various times have been talked about as a potential divesture candidate? How you’re feeling about that asset? Thank you.
Janet Clark: Yeah. Maybe, first of all, with respect to Norway, Arjun, I think the declines thus far this year have been less than we expected and that has really helped drive stronger performance or strong results out of our international production side. And again, I would attribute it, as Lee said earlier, very strong reliability, our teams are really outstanding in keeping those assets running at the optimum rate, but the reality is as we’ve talked about before that asset is going to go into decline, it’s the manage decline because we have a number of offsets satellite fields will tie-back, you know the Boyla project which is under development currently will come on-stream in the fourth quarter of 2014 all of which will begin to flatten that decline but nonetheless the decline. But, again, as we’ve discussed many, many times the Norwegian barrels are high revenue and very low cost -- cash cost and so very high strong cash margins despite a 78% tax rate but again that will be a portfolio decision we will have to make. And then I think with respect to Libya, as we have done with other assets that we are potentially reviewing we don’t comment on specific assets that we may or may not. So again as we discussed that pushed us in an awkward position in terms of any negotiations we have or government approvals. So we prefer not to comment on that one.
Lee Tillman: Yes, I think it’s important, Art, to know we recognize that we have delivered though on our asset high-grading commitments, we are at the upper end of the range of what we talked about in the past, that doesn’t mean that we’ve completed that process. It’s an ever-green process and as Clarence said, we don’t comment specifically on Libya or oil sands but we do recognize that high-grading our portfolio is one of the tools that’s available to us to continue to deliver competitive returns and we will continue to use that.
Operator: Our next question comes from Blake Fernandez from Howard Weil. Please go ahead.
Blake Fernandez - Howard Weil: Firstly, Clarence, wanted to congratulate you on a great career at Marathon. I had some questions on the buyback and I know in the prepared remarks you mentioned that the proceeds from Angola would primarily be used for buyback. So I was hoping you could give us little more clarity on how we should think about timing, do we need to actually have the deal closed before buybacks commence, should we be thinking more ratable purchases opportunistic and then if possible, any kind of real specifics on exactly how much of that will be allocated toward buybacks?
Clarence Cazalot: My questions, Blake, but I think all I would say at this point is that our expectation is the buybacks would be timed closer to when we get the proceeds. Now how it gets done, whether it’s ratable or accelerated, those are all decisions that have to be made under evaluations but as we said, the largest part of the use of these proceeds will be for buybacks and so I think you should look to hear more about that in the coming months.
Blake Fernandez - Howard Weil: My second question is on the exploration side, I know it sounds like that Sabisa had some positive indications but the delivery has moved off. Any indication of when you may get back on that target and then secondly, on Gabon, I know Total is the operator but just any indication of initial shows would be great.
Clarence Cazalot: I think on Sabisa, as you indicated that we did find indications of a working hydrocarbon system in this first well, it’s the first well in this Miocene basin. So that’s very encouraging. We had mechanical issues with respect to BOC, they really did analysis to get a full evaluation of that well. But rather than drill another well next to it, the decision was made to move into the center of the basin to drill the next well -- the Total well, to give us more information to assess the overall prospectivity of that basin. So again as we talked about any these rift basins, it really takes multiple exploration wells to get a full assessment of the potential and so that’s what we are trying to do with this second well. And then I think with respect to the [model] well in Gabon, Blake, I believe we said about all we can say at this point in the press release that we are at total depth and logging operations are underway in other evaluations. And again as those results are received and evaluated it will be up to the operator Total to announce those results. So that’s about all I can say. To me it’s a matter of weeks, not months that you will be hearing those results.
Operator: Our next question comes from Edward Westlake from Credit Suisse.
Ed Westlake - Credit Suisse: I guess two questions just on shale, first on the Eagle Ford, you’ve discussed (inaudible) a decent well result. I think it’s fair to say that [Austin shale] probably have the best rate in the industry just because of it’s more choke in our shale decline rates, perhaps where other people have been drilling. Are there any comments you could make to help us understand why the Austin Chalk might be better with the acreage that you guys hold?
Clarence Cazalot: Yeah. I guess, let’s say, the comment we made back when we first entered, putting people questions some of the prices we paid, we said Eagle Ford is not the same across this entire area and that the same is true for the Austin Chalk. I think we’ve talked in the past that when you look at the core data here in the primary, core part of the Eagle Ford here and you look at the Austin Chalk compared to the Eagle Ford, they look very, very similar. And certainly, I’d say based on the wells we drilled so far, the production and the rates we’ve gotten that seems to be the case. They are much more Eagle Ford like in terms of their performance. It’s early days. We’ve got four wells. We’ll look to continue to evaluate this and determine just how extensive this prospective Austin Chalk is. But when you think about the fact, these were shorter laterals than what we’ve been drilling in the Eagle Ford and yet achieved pretty strong rates. The performance so far kind of looks like the type curve for the condensate window in the Eagle Ford. So pretty strong performance, very encouraging and I think certainly upside to what we’ve previously thought.
Ed Westlake - Credit Suisse: And then on the Bakken, I mean, you’ve got a target to go to sort of 50 to 60, you announced an intriguing Three Forks well. Obviously, you’ve got some acreage that looks good and some other acreage that’s further off-peak but what’s the restriction on ongoing faster?
Clarence Cazalot: Well, that is certainly one of the things that Lee mentioned it earlier as we evaluated our business plans for 2014 and beyond. Acceleration is certainly an opportunity we have in the Eagle Ford and the Bakken. And we’ll be looking at that. Certainly, some of the past transportation bottlenecks have diminished. We certainly see quite a bit of takeaway today, some more profitable than others. Rail is certainly no long the track that it was a few months ago. But we’ll certainly look at the potential to accelerate our development of that and to your point, we have had good results in the upper Three Forks. And we’ll continue to do some of the pilot work and additional valuation we need to look at the second and third ventures as well and begin to develop our plans for those additional zones.
Ed Westlake - Credit Suisse: Thanks very much. Good luck.
Operator: Thank you. Our next question comes from Guy Baber from Simmons. Please go ahead.
Guy Baber - Simmons: Thanks and good morning.
Howard Thill: Good morning, Guy.
Guy Baber - Simmons: I understand it might be a little early for this question. But I was just wondering if you could talk a little bit about your early expectations for production growth in 2014. And I’m basically just wondering if you see yourself able to grow with those long-term rates that you’ve highlighted before to at least 5%. And how important is hitting that target for any individual year or are you just more concerned with the longer term production potential of the portfolio?
Clarence Cazalot: Guy, the 5% to 7% we gave was 2010 to 2017 and of course, we got the slide here in the deck to show what that looks like in terms of general magnitude. But for any given year, again it depends upon what projects we have coming on, how quickly we develop some of our assets. With respect to 2014, our business planning process is getting underway now. As I’ve indicated and Lee said as well, a good deal of what we do in the Eagle Ford will depend upon the results of the down spacing and again you’ll hear about that in December. And let me say this December Analyst meeting isn’t just about the Eagle Ford. You’ll be hearing about the entirety of our portfolio. So to the extent, we look at acceleration of the Eagle Ford, the extent we look at acceleration in the Bakken. Those would all be things that we would discuss at that time. And I would point to that, Guy, as to the time table in which we would give you guidance on 2014 production.
Guy Baber - Simmons: Okay. Great. And then my follow-up is you had some positive commentary around realizations about the Eagle Ford and was just hoping you could elaborate some of your more recent developments there about the new LLS contract, also some additional infrastructure, just maximizing net backs. So my question is, is there just more detail you could provide around your outlook for Eagle Ford realizations over the next couple of years. And any plans in place you might have to maximize those realizations?
Clarence Cazalot: Well, again I would just say we’ve done a very good job, I think in terms of getting our infrastructure in place, moving our barrels off the trucks on to pipelines and allowing us to get to where we can realize the highest value for our crude. I know there has been a lot of commentary in the past about some of the weakening prices for condensate and NGLs and different gravities as we talked about before. We have about 72% of our liquids that we are realizing LLS minus $8 a barrel at the well head and about 28% that’s LLS minus $12 a barrel. And that’s all the higher gravities and the lower gravity we do a good job of blending as much as we can to stay below 55 degrees and again I think we are maximizing our commercial advantage in the Eagle Ford. The new contract we talked about is really a pipeline to sell into the enterprise line going into the Houston ship channel that frankly is LLS minus $6 a barrel at the wellhead. Our best realization to date in the basin. So our midstream teams, our commercial teams are doing a good job of staying out in front of our production growth and ensuring we are getting the best value for our barrels.
Operator: Our next question comes from John Malone from Mizuho Securities.
John Malone - Mizuho Securities: It looks like you increased guidance a bit on North American operating costs. Can you just elaborate of what’s behind that?
Clarence Cazalot: John, let us take a look at that and get back to you. I am not sure we -- but we will have to get back to you on that.
John Malone - Mizuho Securities: And then second question, clearly you got a lot of news coming out of Kurdistan in the near future. How are your views on the politics they are involved and if you were successful and what would inform the decision between farming that down selling out of entirely versus sticking around and developing?
Clarence Cazalot: Well I think Kurdistan like all of our opportunities we are still on the very early days. We got to continue on operated blocks as well as to operated blocks, we are very early in the exploration phase. We are just getting the results. Clearly Kurdistan is a long play in terms of gaining material production out of Kurdistan. I think we need to see these latest exploration results and we will get some clarity around next step. It’s a stellar hydrocarbon province and it’s one of the plays that we need to be involved in. And once we get sufficient data we can take a view of how best to monetize the resource whether that is through our own operations or by some other means. But Kurdistan is still a very early days play for us.
Operator: Our next question comes from John Herrlin from Societe Generale.
John Herrlin - Societe Generale: Hi, this is just one for Clarence and somewhat expository, you’ve been getting a lot of congratulations on the restructuring. I just have kind of a post-mortem question for you, Clarence. Clearly, Marathon today is a lot different than when it started. One, did you have revision to this type of radical transformation and specifically with upstream do you think a lot of your decisions were based on changes in technology more than resource access, could you kind of give a brief post-mortem as to that whole process?
Clarence Cazalot: You mean in terms of the rationale behind the split, John?
John Herrlin - Societe Generale: No, no, not the split, how you’ve changed your E&P business. I mean it reduced your risk exposure for exploration, added a large exploitation compound or lake, I was just wondering how you envision portfolio versus when it came in, and ---
Clarence Cazalot: Well, I would simply say it’s -- Lance Robertson said something to me yesterday about the last couple of years that he’s watched me, he said, looks like I am having a lot more fun. And it really is. It’s been a lot of fun running an E&P company and all the things we talk about is the advantages of a resource driven company in terms of lower risk, scalability, the ability to accelerate, indeed if you want the production in order to optimize value. Frankly, that kind of detail that we’re get into this call, really getting into the business, it to me is a great deal of fun. Lee has jumped in with both feed into this. You can imagine it’s a little different than Exxon but it’s -- I think it’s been absolutely right decision for the company. And I think we’ve positioned the company well. We’ve got a great deal of resource to the future and I would do it all over again, John.
John Herrlin - Societe Generale: Okay. Thanks. Last one, a second one, how long is the Madagascar well?
Clarence Cazalot: Let’s see here. We will get it for you here and will give that comment, John, on the line in just a moment.
John Herrlin - Societe Generale: All right. Thank you.
Clarence Cazalot: You bet.
Operator: (Operator Instructions) our next question comes from Duane Grubert from Susquehanna. Please go ahead.
Duane Grubert - Susquehanna: Yeah. As we look forward to meeting you and your style, I was wondering if you could comment a little. If I was to suggest three buckets of style, one being a technical focus, one being the focus on numbers and one being a strategy. How do you see your style evolving at Marathon, what are your natural biases?
Lee Tillman: Well, certainly I began my career on the technical side of the business, no doubt playing in and of course, our business remains the technical business that still has to be based and driven on sound science. A great example of that is what we’re doing in Eagle Ford with downspacing. We’re being methodical but also aggressive in our approach to technology there. I think though in terms of splitting that dimension versus the numbers of the financial side and the strategy side, I see needing to bridge across all three of those dimensions. You really can't separate the three. It’s an integrated proposal here. At the end of day, it’s really about risk management and capital allocation for us and really to do that adequately you have to have a focus on technical numbers as well as the guided by long-term strategy. So, I actually look forward to discussing all three with you in the future.
Duane Grubert - Susquehanna: Yeah. That’s a great answer. And then just a related follow-up. What’s your biggest ingoing surprise as an opportunity?
Lee Tillman: Well, I think, for me it just that the sheer of running room that exist in the resource play here in the U.S. It is a tremendous opportunity. We’ve talked at length already about the Eagle Ford and the Bakken in the primary zones that we’re chasing there, but we’ve also talked about the Austin Chalk as well. There just an incredible amount of opportunity yet to be on lease, putting the downspacing even to the side, some of these stack place that exist, I think we’re just beginning to understand. I’ve also been very impressed with how quickly Marathon has ramped up from an efficiency standpoint. We’re still relatively early to the resource play that, as you look at the efficiencies and the reliability that our teams that driven in the Eagle Ford and the Bakken, it’s very impressive and certainly constitute first quartile performance and that’s been a very pleasant surprise to me.
Duane Grubert - Susquehanna: Great. Thank you.
Lee Tillman: Thank you, Duane.
Speaker: Good answer John Herrlin's question the Madagascar well looks like about a 90-day well.
Operator: Thank you. Our next question comes from Matt Portillo from Tudor, Pickering, Holt. Please go ahead.
Matt Portillo - Tudor, Pickering, Holt: Good morning, guys. Just a two quick questions for me. Something we get to talk a little bit about your Kenai drilling program and in particularly the Southern Kenai and how that fits into an acceleration case given the result you guys have seem today kind of how that, what commodity price environment you need to pick up drilling there? And then secondly, just wanted to get an update on your views on the Lower Tertiary opportunity within your portfolio in the Gulf of Mexico? And how we should think about your drilling plans over the next year or two targeting some of those high impact prospects?
Janet Clark: Yeah. I think certainly in the, what we call the Knox area or it could be Southeast Kenai, we have two rigs operating today, that’s been sort of steady stay just to cope on acreage, continue to advance our knowledge of the reservoir, continue to help drive down our drilling cost which is very important component for us, there is as we noted in the press release, one of our more recent well Fort Knox was a record for us in terms of drilling times, down to 43 days and a very strong IP rates. So it is indeed an area to go back to what we said before, we have a great deal of resource here across the Knox and Cana area proper to the north as well as other areas of Oklahoma. Right now we have a sort of go-slow strategy on, continue to advance our technical knowledge, continue to advance our drilling costs but significant opportunity to ramp up and that’s what we show in our investment presentation is this is an area as we see, particularly higher NGL prices. Natural gas prices will help as well but to see NGL prices get back up into the high 40s well could be $1 a barrel type ranges would certainly be very helpful in terms of the economics of this area. But I think we can envision at some point in the future as we see better prices running double digit numbers of rigs in this area. We think the potential is quite significant. We are quite fortunate that a good deal of our acreage is HBP. So we don’t have a compelling reason to be out there drilling wells just to hold a lot of acreage at this time. And I guess with respect to Paleogene, we have a significant prospect inventories today and when you -- when we take delivery of the rig next year with Conical that we will share, that’s when we will begin to execute on our operated Paleogene prospect inventories, the vast majority of which are in-board which as you know based on the [Shenadore] results the in-board Paleogene has much better reservoir properties and that’s where our initial focus will be in our Gulf of Mexico drilling.
Operator: Thank you. I will now turn the call back to Howard Thill for closing remarks.
Howard Thill: Thanks Don. And before we close, I’d just again like to remind you to please mark September 4th on your calendars for our analyst, as Clarence said for a total company review in San Antonio, Texas and we appreciate very much your interest in Marathon Oil and hope you have a wonderful day. Thank you. Good bye.